Operator: Good morning, ladies and gentlemen. Welcome to Central Puerto's Second Quarter of 2025 Earnings Conference Call. A slide presentation is accompanying today's webcast and will be also available on the Investors section of the company's website, www.centralpuerto.com/en/investors. [Operator Instructions] Please note, this event is being recorded. If you do not have a copy of the press release, please refer to the Investor Relations support section on the company's corporate website at www.centralpuerto.com. In addition, a replay of today's call will be available in upcoming days by accessing the webcast link at the same section of the Central Puerto's website. Our host today will be Mr. Fernando Bonnet, Central Puerto's CEO; Mr. Enrique Terraneo, the company's CFO; Mrs. Maria Laura Feller, Head of Investor Relations; and Mr. Alejandro Diaz Lopez, Head of Corporate Finance. Maria Laura, please go ahead.
Maria Laura Feller: Good day. Thank you, operator. Before we begin, please be aware that this presentation contains forward-looking statements based on current outlooks and assumptions. Such statements involve risks and uncertainties that may cause actual results to differ materially. Also, U.S. dollar figures presented may be impacted at a noncash level as our financial statements are reverting in Argentine pesos and subsequently converted into U.S. dollars solely for comparability and analysis purposes. Investors are advised to review the full disclaimer and financial statements available on Central Puerto's website and public filings. Adjusted EBITDA is a non-IFRS measure and should not be considered separately. So please refer to our financial statements. In the second quarter of 2025, the adjusted EBITDA was $61.4 million, which reflects a 32% decrease compared to $89.9 million in the previous quarter, and above 35% compared to the second quarter of year 2024. Last 12 months adjusted EBITDA was $309.9 million and 8% above the full year 2024. In the second quarter, FONINVEMEM debt collection was of $17.2 million. Total generation volumes in this quarter were 4,372 gigawatt hours, a 24% decrease compared to the first quarter and 12% decline year- on-year. The decrease compared to the previous quarter is primarily due to the onetime schedule upgrade and maintenance of Central Costanera Mitsubishi combined cycle and the steam turbine 6 from Central Puerto complex. Revenues in this quarter were $179.6 million, a decrease of 8% compared to the previous quarter and an increase of 7% compared to the same quarter of the previous year. From total revenues in this quarter 89.6% of total revenues came from energy sales. Such revenues in this quarter decreased from the previous quarter due to the seasonality of spot capacity charges and lower volumes as discussed before. These effects were partially offset by additional self-managed fuel procurement from the T6 plant and other fuels procured. On the regulatory front, spot prices in pesos adjusted every month for inflation as set by Energy Secretariat, adding up to a compounded 5.1% for the quarter. And in addition, still on the regulatory front, last Thursday, the National Executive Branch released a Decree 476 with further definitions on hydro concessions, which we will review in the following slide. Capital expenditures in the semester were $102.4 million and were mainly allocated to the 155 megawatts of installed capacity we are building. From this additional capacity, 140 megawatts will come from the closing of the Brigadier Lopez combined cycle, while 15 megawatts from the San Carlos solar project. Both projects were at an approximate 80% completion at the end of the quarter with an expected COD before year-end. Finally, our solid financial position is reflected in the balance statement of the quarter with a resulting net leverage ratio of 0.56x the last 12-month adjusted EBITDA. As discussed before, the Energy Secretariat has allowed monthly adjustments to peso-denominated electricity spot prices to reflect inflation. Regarding the Piedra del Aguila concession extension, last Thursday, the National Executive Branch issued the Decree #476. This decree established a new set of terms and a required payment for an adhesion agreement. It also granted an additional 90-day period for the current concession and opens the possibility for it to be extended until the end of the year. Second quarter adjusted EBITDA decreased 32% quarter-over-quarter, mainly due to the seasonality of capacity charges and the maintenance works in the Costanera and Central Puerto plants. That impacted in lower revenues and additional OpEx related to such maintenance works. The resulting last 12-month adjusted EBITDA is 8% above full year 2024 adjusted EBITDA. Also to account for this quarter's results, FONINVEMEM collections were $17.2 million. Power generation volumes of the quarter were impacted by Central Costanera Mitsubishi combined cycle with 1,200 gigawatt hours below the previous quarter. Also, the Central Puerto steam turbine 6 was below the previous quarter by 186 gigawatt hours. This resulted in a total thermal availability rate of 68%, and average combined cycle availability of 73% and an average steam turbine and gas turbines availability of 60%. The steam production increased 20% in the second quarter compared to the previous quarter. Total revenues were $176 million, while energy generation-related revenues were $160.9 million. In the second quarter, spot revenues were impacted by the seasonal capacity charges established under Resolutions 59 and 294. This led to a quarter-over-quarter revenue reduction of $19.2 million. Additionally, the lower volumes sold impacted in the energy component of spot revenues by $12.5 million. These effects were partially offset by additional $18.4 million from self-managed fuel procurement for our T6 plant and other fuels as authorized under Resolution 21. Spot peso-denominated prices represented 16% of total revenues. And during the quarter, such prices maintained the parity with inflation and the exchange rate variation. Our ongoing pipeline of projects is a cornerstone of our growth strategy. Let's begin with Brigadier Lopez, a thermal power project that is nearing completion. With the closing of the Brigadier Lopez combined cycle, we are adding 140 megawatts hours to its current capacity, bringing the total installed capacity to 421 megawatts hours. Total project investment will be of approximately $185 million, and we are on track for commercial operation in the fourth quarter of 2025. Next, we have the San Carlos solar project, which will deliver 15 megawatts of installed capacity with an estimated CapEx of $18 million. Like Brigadier Lopez, San Carlos is expected to be operational before year-end. Finally, we turn to Alamitos, a wind project planned for 130 megawatts with potential expansion to 150 megawatts, depending on final technology offers with an estimated investment of $130 or $50 million. Alamitos is currently in the bidding phase for power generation technology and engineering services. Construction is scheduled to begin in the first quarter of 2026. Also, Central Puerto is participating in the battery storage tender process. We submitted bids for 150 megawatts through Central Puerto and 55 megawatts through Central Costanera. The Alamitos process is ongoing with final definitions expected by the end of August. Let us also briefly touch on the hydro concession extensions. Last Friday, the National Executive Branch released new conditions that are under our analysis at this moment. As discussed earlier, our strong balance sheet and financial flexibility is reflected in these figures. Our outstanding financial debt was $409 million as of June 13. Cash, cash equivalents and current financial assets balance was $235. The resulting net leverage ratio was 0.56x the last 12-month adjusted EBITDA. Outstanding credit under the FONINVEMEM program stood at $166.5 million and is being collected in monthly installments through May 2028. Also, it is good to remark that our capital expenditures of the semester were fully financed by our operating cash flow. On the market overview, variations in the demand reflect the seasonal effect of the second quarter of the year, where the temperatures were milder compared to the previous quarter. On the composition of the offer, hydroelectric power generation is being impacted by low water levels. Total system installed capacity remained quite stable. Now to conclude, we would like to share our takeaways for the second quarter of the year. Starting from our growth plan that is already adding around 300 megawatts of installed capacity, reflecting our active focus on growth opportunities with the Brigadier Lopez combined cycle closing and the San Carlos solar farm that are nearing conclusion and the Alamitos wind farm that is currently in the design phase. We are also looking forward to the developments in the battery storage center process and hydro concession development. On the operational front, we have highlighted our operation efficiency and availability advocacy for high standards. which are reflected in the Central Costanera Mitsubishi combined cycle maintenance works and the upgrade of the steam turbine 6 from Central Puerto's complex. On the regulatory front, we expect additional government disclosure to the ongoing electricity market reform, including economic [indiscernible] to expand our self-managed procurement of fuels as allowed under Resolution 21. Thank you for your attention. Now we can move to the Q&A session.
Operator: Our first question comes from Martin Arancet with Balanz.
Martin Arancet: Can you hear me ?
Operator: Yes. We can hear you, sir.
Martin Arancet: I have four questions. I would like to run them one by one, if that's okay. The first one regarding Central Costanera, even though it was on a scheduled maintenance, it seems that it caused a loss for Costanera since OpEx was higher than the revenues. I was wondering if you could add a little bit of color on that and if you expect to have, I don't know, an additional income from an insurance company or something like that to compensate that loss.
Operator: Martin, we were able to hear you. We are having a few technical issues. Just a second, please. We are having a few technical issues. Please hold. [Technical Difficulty]
Fernando Roberto Bonnet: Martin, can you hear me.
Martin Arancet: Yes, I can hear you. There is like an echo.
Fernando Roberto Bonnet: Martin, can you hear me.
Martin Arancet: Yes. Perfect.
Fernando Roberto Bonnet: Yes. Thank you. Sorry for the inconvenience. Well, going to your question, talking about Central Costanera Mitsubishi combined cycle maintenance. We have -- in the maintenance, we have we performed two things, two important things. One was planned, which was the big maintenance of our GT, one of our GTs, which was the eighth GT that was planned and was performed by Mitsubishi. But in the other hand, we performed an extraordinary maintenance in the boiler that was not planned, but that was performed in order to put the boiler in the condition in our standards, in Central Puerto standards. In the past, the previous owner was not doing all the maintenance that we understand that they need to do in the boiler. So we performed a big maintenance on the two boilers of the two GTs and that was extraordinary. But as a consequence, that was a degradation during the operation. It's not something that was covered by the insurance company. So we are not expecting recover that money from the insurance company. But as I mentioned, we put those two boilers in a good perspective for the operation in the next 20 years. So it's something that we need to perform in order to have that combined cycle operating in the Central Puerto standards with an availability over 90%, 95% and we expect that this is going to happen after that big maintenance that we performed.
Martin Arancet: Just a follow-up on that. How much will you say that it was the additional cost for this unplanned maintenance of the boiler.
Fernando Roberto Bonnet: It's something around $18 million, $20 million.
Martin Arancet: Okay. Then my second question is about the Alamitos project. The 2 years construction scale seems a little bit longer than similar projects with the same technology. I was wondering if you could add some color on that on why the 2 years. I don't know if there are some issues with the providers of the technology or something like that.
Fernando Roberto Bonnet: No, no, no, that is not an issue. Perhaps it's something that we are very cautious. We expect that could be less, as you mentioned. But yes, perhaps talking about being cautious, perhaps we are taking 2 or 3 months additionally than we expected, really expected.
Martin Arancet: Okay. Great. Then a quick one. What's your CapEx expectation for the remainder of the year?
Fernando Roberto Bonnet: Well, we have some remaining CapEx for Brigadier Lopez around $35 million, $40 million and a small amount for San Carlos project, which is, I don't know, $2 million or $3 million more. And perhaps at the end of the year, we can reach -- we can accelerate as we have been talking with Alamitos something related to, yes, 20% of the total cost.
Martin Arancet: Okay. Great. And my last question then, well, as you mentioned, there was the extension of the hydro concessions.
Fernando Roberto Bonnet: Yes.
Martin Arancet: Yes. And I was wondering there, how much is the current contribution to EBITDA of Piedra del Aguila? Also regarding the auctions, I think that you should -- you're probably also waiting for the new thermal auction. I don't know if there is something planned for that.
Fernando Roberto Bonnet: In fact, talking about the extension, in fact, our extension is not so relevant because we -- previous extension ends 29 of December. So it's kind of 2 or 3 days, the new extension. So it's not so relevant. It's more relevant for the other concession that ends in August. So it's not so relevant. The current EBITDA of Piedra del Aguila is around $35 million, depending on how they're going to adjust the tariff is something that happens every month, but it's something around that $35 million. And depending on, of course, the [indiscernible], the inflows, water inflows, but it's around between $30 million, $35 million a year.
Martin Arancet: Okay. And you will wait to see the hydro auction at the end of the year? And also, I don't know if you have any news on the new thermal auction. I heard that there are some issues to get new turbines and that could be a reason for [indiscernible].
Fernando Roberto Bonnet: New turbines you referred to hydro or you are talking about thermal right now?
Martin Arancet: Both, actually. I mean when do you expect the new hydro auction to took place, so if you heard something about the possibility of a new thermal auction?
Fernando Roberto Bonnet: In terms of hydro, I think they are adjusting some things with the provinces, Neuquen and Rio Negro, that is perhaps what we hear about why it's having some delays on launching. But well, I think that perhaps it will be solved at the end of the year, as you mentioned. The new decree that extent that the concession established that is the ending of the concession is in December or when the government finalized the auction, so earlier, so -- or the latest -- sorry, not earlier, the latest. So I don't know if they can make all the process in the month at the end of the year, could be at the end of the year. If not, they don't need a new decree. So they can automatically extend until the timing that they finalize the auction. So I don't know. We hear that they want to do it earlier -- sooner, but I don't know, depending on -- as I mentioned, depending on how they can agree that final points with the provinces and so on. And in terms of thermal, they want to finish first the auction of -- the battery auctions and see how is the output about that. And then perhaps the end of the year or beginning of the next one, start talking about a thermal -- a new thermal auction for capacity installed in the critical points of the grid, yes.
Operator: Our next question comes from Julian Casas with Balanz.
Julian Casas: Can you hear me fine?
Fernando Roberto Bonnet: Yes.
Julian Casas: Myself from I am from Latin Securities. No worries. I wanted to ask you if you could please walk us through how you arrived at the $409 million in gross debt figure that you mentioned before?
Fernando Roberto Bonnet: Okay. Do you want to go through it?
Julian Casas: Yes, if you don't mind.
Fernando Roberto Bonnet: Yes. You have the -- just a second, please.
Julian Casas: Yes, sure.
Enrique Terraneo: We have around $100 million of bonds at Central Puerto level. And then we have another $50 million in Central Costanera regarding to [indiscernible] financing. The rest of the amount are loans at the subsidiary level, project finance loan mainly with IFC and IDB for approximately $150 million.
Fernando Roberto Bonnet: Sorry for the delay, but we...
Julian Casas: No, no worries. It was a tough question, sorry.
Operator: [Operator Instructions] This concludes our Q&A session. I would like to turn the conference back over to Mr. Fernando Bonnet for any closing remarks.
Fernando Roberto Bonnet: Thank you to everyone for your interest in Central Puerto. We encourage you to call us for any information that you may need. Have a great day.
Operator: This concludes today's presentation. You may now disconnect and have a nice day.